Operator: Good day, and welcome to the The New York Times Company's First Quarter Earnings 2012 Conference Call. Today's conference is being recorded. At this time, I would like to turn the conference over to your host, Ms. Paula Schwartz. You may begin.
Paula Schwartz: Thank you, and good morning, everyone. Welcome to our first quarter 2012 earnings conference call. We have several members of our senior managing team here to discuss our results with you including Arthur Sulzberger, Jr., Chairman and Chief Executive Officer; Jim Follo, Senior Vice President and Chief Financial Officer; and Scott Heekin-Canedy, President and General Manager of The Times. All of the comparisons on this conference call will be for the first quarter of 2012 to the first quarter of 2011, unless otherwise stated. Our discussion will include forward-looking statements, and our actual results may differ from those predicted. Some of the factors that may cause them to differ are included in our 2011 10-K. Our presentation will also include non-GAAP financial measures, and we have provided reconciliations to the most comparable GAAP measures in our earnings press release, which is available on our corporate website at www.nytco.com. Now I'll turn the call over to Arthur Sulzberger.
Arthur O. Sulzberger: Thank you, Paula, and good morning, everyone. I'm pleased to say that 2012 is off to a good start. Our first quarter results are a testament to our successful digital strategy. Just one year after launching digital subscriptions at The Times, subscribers to pay digital products across the company totaled approximately 472,000. Our strategy has provided a model for the rest of the industry, and we continue to see reports that a growing number of U.S. newspapers are adopting metered models. Even as the advertising environment remains challenging on both the print and digital fronts, this year we expect to build on that strong start as we embark on our second year of paid digital subscriptions. We are exploring opportunities to deepen our readers engagement through mobile, video and social media, all of which have been growing rapidly. And we are investigating opportunities to further extend The Times brand and expand its global footprint. As an example, in February, we launched Science Times China, a monthly magazine based on our Science Times coverage, translated into Chinese and distributed in the largest cities in China. Underlying most of our growth opportunities is our award-winning journalism, the strength and depth of which are unmatched in the industry. It was announced earlier this week that for the second consecutive year, all 3 newspaper units owned by The Times in 2011 won Pulitzer Prizes. The New York Times won 2 for Explanatory and International Reporting. The Boston Globe won for Film Criticism, and the Tuscaloosa News won for Breaking News Reporting. While the global news environment continues to change dramatically, our quality journalism, with its broad scope and in-depth analysis, positions us as a continued leader in the news space. Disciplined cost management is a key element of managing our business. Our challenge remains how do we maintain our high-quality journalism while further reshaping our company for the future. This involves the careful balancing of our investments to support our digital initiatives while finding further cost efficiencies across our organization. During the quarter, we made progress on our search for a new CEO. Our Board of Directors has retained the global search firm Spencer Stuart, and we are looking both internally and externally for an executive who meets our needs. We will take the time necessary to find the right person for the role. And now, I'd like to turn the call over to Jim Follo.
James M. Follo: Thanks, Arthur, and good morning, everyone. Our first quarter results reflect continued strength in the circulation side of our business, led by the introduction about a year ago of the Times digital subscription packages, as well as solid cost management, which together enabled us to achieve 9% growth in operating profit for depreciation, amortization and severance. This growth was despite continued uncertainty in the advertising marketplace. In the financial results reported earlier this morning, the results of the Regional Media Group, which was sold early in the first quarter, are reported as discontinued operations for all periods presented. We continue to refine and build upon our digital subscription initiatives in the first quarter. The Times recently reduced its pay meter count to 10 articles from the original 20 in both The Times and BostonGlobe.com, were that digital subscriber basis in the quarter. We are pleased with our progress to date in creating a robust new revenue stream based upon charging for digital access across -- access to our award-winning content. Overall circulation revenues were again bolstered by these digital pay products, especially at The Times. Total circulation revenues were up 10% for the company and 13% for The Times Media Group in the quarter. A new consumer revenue stream was enhanced by the improvement in home delivery circulation we have seen, following the launch of digital subscriptions in the form of new orders and approved retention rates, as well as by the print price increases implemented by The Times at the beginning of the year. While total revenues for the company were flat, the advertising environment again presented challenges in the first quarter. Digital advertising revenue was down 10%, driven by ongoing challenges at the About Group, which saw a 24% decline in advertising revenues, while digital advertising revenue at the News Media Group decreased 2%. Print advertising trends improved slightly from the fourth quarter and finished down 7%, while overall advertising revenues were down 8%. We maintained our focus on managing cost in the quarter. The company's operating expenses before depreciation, amortization and severance declined 1%. On a GAAP basis, costs were up 1% as we reported operating profit from continuing operations of $20 million in the first quarter compared to $26 million in the same period of 2011. Diluted earnings per share from continuing operations, excluding severance and special items, was $0.08 in the first quarter compared to flat in the same period of 2011. On a GAAP basis, we reported diluted EPS of $0.09 per share from continuing operations in the quarter compared to $0.02 in the first quarter of 2011. Returning to our digital initiatives. As we recently announced, in conjunction with the anniversary of our digital subscriptions as of March 18, The Times Media Group have 454,000 paid digital subscribers, up 16% from the fourth quarter. This number includes subscriptions to The Times, the International Herald Tribune digital packages, eReaders and Replica editions. The Boston Globe had 18,000 paid digital subscribers to BostonGlobe.com as of March 18, also including eReaders and Replica editions. The sponsorship of more than 100,000 Times users ended in December and we have already converted a large number of these digital -- of these readers to digital subscriptions and we expect to continue that process into the second quarter. In addition to the sale of our Regional Media Group for $140 million in January, in the first quarter, we also completed the sale of 100 units -- 100 of our remaining units of Fenway Sports Group for $30 million, resulting in $18 million pretax gain. We still own 210 units and continue to actively market that remaining stake. Now let me provide more depth on our first quarter revenues. At the News Media Group, digital advertising showed weakness and was down 2%, while print advertising decreased 7%. The group's total advertising revenues, which declined 6% year-over-year in the quarter, saw a sequential improvement in the last 2 months, declining 9% in January, 7% in February and 2% in March. The group's weakness in digital advertising was led by declines in real estate classified and national display, which was soft in the first 2 months of the year, but returned to healthy growth in March. In the first quarter, we saw digital gains in retail display, as well as the automotive classified category. Within the News Media Group -- at The Times Media Group, while overall revenues were up 3% in the quarter, advertising revenues were down 5%. This growth in both print and digital retail advertising was more than offset by national and classified print declines. Aggregate national advertising declined and aggregate classified advertising was also lower. The Times digital strategy is focused on continuing to grow its subscriber base and extend its digital brand. We plan to build on our success in the second year of our paid digital subscription offerings through both the recent pay gate adjustment to 10 free articles and through the ongoing rollout of new features, functions and content. Most recently, we enhanced our Times offering by including group corporate accounts and special rates for colleges -- for college students, faculty and administrators. We plan to launch group accounts for educators, education subscribers in the second quarter. Ongoing investment, our content will be continue to be a critical component of our digital strategy as we expand some current content to drive increased engagement levels and create some entirely new homes for content. For instance, The Times, just this week, redesigned its popular health blog, Well, to better showcase the breadth of its expanded health and wellness content, and remain focused on building our offerings, particularly in areas of mobile, social media and video. In the first quarter for instance, The Times launched Business Day Live, a video program that features original news reports from The Times business, media and technology desks on NYTimes.com homepage every weekday morning. The program is broadcast live from The Times newsroom and complements The Times' past report that appears on NYTimes.com on weekday afternoons. Premium advertisers are increasingly embracing such environments. Our print platform has been positively impacted by our digital strategy as well. The initial benefits to home delivery circulation should again be evident in our upcoming ABC report for the period ended March 2012, capturing the continued early success for pay gate. The Times Sunday home delivery volume again showed positive year-over-year growth in that 6-month period, this time at nearly 2%. This latest data is another clear indicator of the multi-platform demand for our products. Also on the circulation side, at the beginning of 2012, The Times instituted a price increase of 4% on average for home delivery across all days of the week, and a $0.50 per copy rate increase for weekday single copy edition. This was our first increase in 2.5 years. We anticipate this change will contribute to improve -- improvement at Times circulation revenues 2012, despite the slight volume declines that inevitably accompany a price increase. At the New England Media Group, advertising revenues declined 12% in the quarter, mainly due to weakness in print advertising. Overall national ad revenue was down, and total retail advertising revenue was also lower. Digital classified ad revenue showed growth, reflecting increases in automotive and recruitment, while combined classified revenue was down resulting from continued print weakness. On the circulation front, in April, The Globe instituted a price increase of $0.25 per copy for weekday single-copy edition in the Boston Metro area and $0.50 outside that area. For seven-day home delivery customers, there will be a price increase of about 6%. The Sunday-only rates will remain unchanged. This was also The Globe's first circulation increase since 2009. At the beginning of the second quarter, The Globe also launched a new digital Replica edition, enabling subscribers to enjoy the actual print edition, enhanced with digital features on their computers, tablets and mobile devices. The Boston Globe ePay port is available on BostonGlobe.com, as well as in the iTunes store as an iPad and an iPhone app. Moving on to The About Group. Total revenues decreased 23% to $24 million in the first quarter, with decreases in cost-per-click and display advertising both contributing to the decline. About is beginning to show progress in its turnaround efforts, particularly on the display side, but there is still more work to be done. The group continues to aggressively respond to increased competition in both display and search advertising markets, and we are moving forward with a variety of initiatives to address these challenges. Declines in CPC advertising in the first quarter continue to result from lower click-through rates. Lower advertising rates for CPC ads remained an issue as well, a trend that was in line with the marketplace. In the fourth quarter, About began to see positive impact on traffic, and that trend continued into the first quarter, with page views up 6% in the quarter. However, the traffic strength was offset by lower click-through rates and ad rates on the CPC side and the gradual ramp up of the new sales team on the display side. As a result, we don't expect to see meaningful improvement revenue trends until the second half of 2012, when display advertising expected to return to growth. On the display side, About made strides in its sales plan to better leverage the site's strong reach, averaging 60 million monthly unique visitors in the U.S. in the first quarter. The group rebuilt its sales staff in the second half of 2011, and a slowly increasing sales activity. With that said, much of the team is still new and it will take time to perfect its execution. The About Group's operating costs were flat in the first quarter, and operating costs excluding depreciation, amortization and severance, increased 4% to $15 million. Operating costs in the first quarter of 2011 were reduced by a benefit from the sale of UCompareHealthCare.com, which more than offset the declines in compensation and benefit expense in the first quarter of 2012. Operating profit declined for $7 million in the quarter. On a company-wide basis, our focus on controlling expenses as a reduction of operating costs, excluding depreciation, amortization and severance by 1% in the quarter mainly due to lower benefits and outside printing expense, partially offset by higher compensation and various other costs. However, we still expect costs to increase modestly this year. We plan to increase spending as we continue to invest in our digital capabilities and subscription acquisition efforts, invest in About sales and marketing efforts, reset our variable compensation targets even as we expect expense savings in our production and distribution operations and from further leveraging our centralized processes and resources. Early this second quarter, we completed the consolidation of most of the Worcester Telegram & Gazette's printing into The Globe's facility. The Globe has also begun to see the financial benefit from printing and delivering a local competitor, resulting in higher production costs as well as the associated revenues. In the first quarter, our liquidity position was improved further as we recognized the cash proceeds from the January's Regional Media Group sale, and February sale of our Fenway Sports Group shares, bringing our cash position to $431 million. Two of our priorities for this cash will be managing our underfunded levels of our pension plans and paying off our $75 million 4.6% notes that mature later this year. Depreciation, amortization increased to $32 million in the quarter, with the increase entirely attributable to the accelerated depreciation expense related to the Worcester consolidation, which was $7 million. Turning to our outlook, in the second quarter, advertising trends for the News Media Group are expected to be similar to the first quarter levels, while at the About Group, advertising revenue trends are expected to improve modestly. Although at the beginning of the second quarter, we cycle through the first full year of our digital subscription packages at The Times. We expect to see continued benefits from these initiatives, as well as from the print price increases. And total circulation revenues are projected to increase in the high single digits in the second quarter. And as I alluded to earlier, operating expenses are expected to increase in the low single digits from the second quarter. And with that, we'd be happy to take your questions.
Operator: [Operator Instructions] We'll take the first question from Alexia Quadrani from JPMorgan.
Alexia S. Quadrani - JP Morgan Chase & Co, Research Division: Just a couple of questions. First on, could you give us some color of how -- what you're seeing in April so far in terms of print advertising trends. I think you said that Q2 should be similar to Q1? But it seems like Q1 ended in sort of a period of strength from starting from weakness in January? I wonder if the numbers you saw in March have continued into April?
Scott Heekin-Canedy: Alexia, this is Scott. April is off to a slow start compared to the last couple months of Q1, as Jim noted. We saw a sequential improvement in Q1, but as I've said in the last several quarters, the month-to-month results are very volatile. And it's in large part, a reflection of the way advertisers approach their spending plans. They tend to be characterized by last-minute decisions and short-term planning horizons. So in April, we're seeing a slowdown compared to February and March. The stronger categories in April, corporate, automotive, luxury continues to be strong for us as it was in Q1 and all of last year, while we had a really strong Q1 for entertainment, driven by the Oscar season and the strong product lineup from studios. We're seeing a slowdown in April. It will probably continue through the quarter. Financial services came off a good quarter and is a bit of a challenged category in April. Real estate has been a challenged category through Q1 as in April, and that's likely to continue.
Arthur O. Sulzberger: Just on The Globe's side, while we'll see some improved print trends in April, some of that stuff is attributed to kind of onetime events and some special issues in April. So we think kind of the core fundamental trends that we saw in the first quarter, we see some of that persisting into the second quarter. I think there's been some printing on the digital side overall. As we said, the trend is similar.
Alexia S. Quadrani - JP Morgan Chase & Co, Research Division: And can you, jumping over to the circ trends, can you provide a bit more color, I guess, on the impressive circulation results that you've reported? I guess, any sense on how much the digital subscription revenue contribute to that line item?
Scott Heekin-Canedy: The digital subscription was a major part of it. We did see revenue growth in print. The price increase has gone very, very well, living up to our expectations, and it will serve as well throughout the year. Digital subscription growth, as indicated in the numbers we've disclosed, was good and will continue to be. The outlook, I think, is very good for the rest of the year.
Arthur O. Sulzberger: But given the price increase that we put in first -- or early part of the year, so I think both of them contributed to good growth, both print and digital sides.
Scott Heekin-Canedy: Yes. A big part of it now clearly came from digital subscription growth.
Alexia S. Quadrani - JP Morgan Chase & Co, Research Division: But it sounds like print would've been positive even without digital? Is that correct?
Scott Heekin-Canedy: Print was positive, yes.
Arthur O. Sulzberger: Yes.
Alexia S. Quadrani - JP Morgan Chase & Co, Research Division: Okay. And then just the last question, on the Lincoln conversion, I think you commented that it's going well. I guess 2 questions. Any sense on what percentage have converted? And then second question, that part would be when -- I guess, what sort of timeline do you really put out there for those conversions? Are we -- I mean, it's been -- I guess, it's only been about 4 months or so, but how long do you think people will either decide one way or the other? I guess, what are you looking to in terms of sort of the end gamer there?
Scott Heekin-Canedy: The major -- the large part of the conversion is behind us. It has gone extremely well. And if you want to look back to prior to launch of our pay model a year ago and think about the top million most engaged users, the MEU program [ph] was like the very top decile, and its conversion rate has -- is quite a bit superior to the nearest deciles as we look back on the past year. We're not going to disclose the conversion rate itself. We're still seeing conversions, and we expect that to continue through the first half of this year. And as with all of our engaged users, we will continue to market to them, and we believe we have confidence that we can continue to convert.
Arthur O. Sulzberger: Alexia, I would just add to that, we did begin converting in the fourth quarter. So we did see a meaningful number, not a tremendous number, but a meaningful number that converted in the fourth quarter. So all the conversion has been spread over a longer period than just the first quarter.
Operator: We'll take the next question from John Janedis from UBS.
John Janedis - UBS Investment Bank, Research Division: Jim, you obviously mentioned your improved cash position, and it’s been getting better now for a while. Can you give us your updated thoughts on maybe the timing around potential return of capital and update on the pension?
James M. Follo: I'll start with the pension. I did say in my remarks that we continue to focus on that as a priority, as well as the -- we have a small maturity debt coming due later in the second half of the year of $75 million. There's been no change in that statement since the last quarter. We'll continue to look at and consider accelerating contributions to that plan. There's nothing meaningfully required to be made this year. We're ahead of the required contributions by about a year except for some contributions largely driven by some union agreements, and that's somewhere in the $30 million to $40 million range. So at a minimal, we're doing about $40 million this year. And then we'll continue to look selectively at accelerating some of those payments. Look, we're keenly aware of the issue. We're continually and we will continue to be in discussions with the Board about the -- what the best use of cash is and nothing to report here in the call, but we -- the Board continually evaluates the best use of that cash. And I just don't have anything new to report at this moment. But we're in a fortunate position with our balance sheet. I will say that, and I said in my remarks as well, we do feel pretty confident and comfortable with our ability to exit our full year statement with Fenway Sports Group, so that will further enhance that as well. And look, we're continuing to generate good cash in operations. So we're fortunate to have a very healthy balance sheet at this point.
John Janedis - UBS Investment Bank, Research Division: Okay. And then separately, can you give us more color maybe on news media digital ad revenue? We haven't seen a negative growth rate in a while. Has there been a shift in advertising psychology, maybe away from premium display to cheaper social media sites? And have you seen any change in the trend in sellout rate at NYTimes.com?
Scott Heekin-Canedy: No. We've seen no change in sellout rate at NYTimes.com. There is no structural shift that we can identify. We know that -- we're cognizant of the dramatic changes that are taking place on the digital landscape, but we don't believe they're affecting our business. There is a shift in the psychology though for digital spending. And I think I've been talking about this since the middle of last year. Since, certainly since the middle of last year, we began to see signs of it earlier in the year. We started to see digital advertising to be much more sensitive to the macroeconomic environment. Print has been for a long time, and we talked about how it's been very sensitive to, reactive to, events in the macro environment whether it's a European sovereign debt crisis, or the debt ceiling concerns our fears of double-dip recession. For -- certainly, through 2010 and for much of the history of digital advertising, it seem to be somewhat, if not a lot, insulated from those kinds of concerns. But beginning in the middle of last year, that mindset has changed. It's sensitive as print is sensitive. I mean, not quite as sensitive but similar to. That sensitivity was clearly in place in Q1 on the earnings call in January or early February, the Q4 call. I talked about the kind of cautious outlook that we had for Q1. The outlook we've -- that Jim spoke to and was in his remarks, it's a similarly cautious outlook for Q2 with much of the same psychology in place. Now the deep uncertainty that existed in January has diminished. But the confidence in the economic environment is still tentative. It's not a deep confidence. And hence, that caution permeates advertiser spending plans. One difference in the Q2 outlook from Q1 is the fact that we're up some against, in digital, very, very steep comps in the technology category. There were quite a number of product launches in Q2 last year. There will not be similarly large product launches in Q2 this year. There's the potential and expectation for such launches later in the year. That's a timing consideration. But because of the steepness of the comps in Q2, that factors into the cautious outlook that we've shared.
Operator: And we'll go next to Craig Huber from Huber Research Partners.
Craig Huber: I want to ask you a little further about your CEO search, Arthur. Just given it's been about 4 months now since your CEO so-called retired, are you prepared at all to become the CEO on a full-time basis here going forward? If you don't find the right candidate?
Arthur O. Sulzberger: I have no doubt, that we will find the right candidate, and I'm looking forward to that.
Craig Huber: Okay. And then also if I could ask About.com, can you just explain, I guess your strategy here to try and turn this around, or will you give us a little more flavor, if you will, what you're doing with the management there, the sales force? Just the efforts you're doing internally that you can control?
Arthur O. Sulzberger: Yes. I'm looking at things that we control. I would say the best are our display advertising, and I think there's a number of factors that contribute to what's been pretty challenging performance. But we do feel like there's more activity in the market that we participate in. I think it takes time. We've had a fair amount of turnover, both at the senior level and at the people on the ground and the sales staff, but we do feel some mental building behind that. So that's a part of the business obviously we're in most control over except for the economic forces. And to Scott's point earlier, it's not the most robust environment. But nevertheless, the comps do get a little bit easier. So another thing we can control is page views, and I think we've done a pretty good job of turning that around. And in our last quarter call, I said we have gone at the positive page view growth territory. And we've continued to accelerate that our page views, as I said in my remarks, were up 6% in the quarter. We expect this to continue to see growth in page views, and that will ultimately translate into better display advertising. But we're looking for premium display to really carry the day. On the CPC side, there's -- obviously, page view growth will also benefit on the CPC side. So we'll continue to work on that front. There are certain things we don't control, ad rates from CPC ads, which is principally served by Google. It's not something we're in control of and that's really -- it's been negative, less negative in the first quarter than we saw in the fourth quarter, however. And then the click-through rate. Click-through rate is driven by, and see if the people have clicked on ads and also quality of ads. So there are a number of things we can do there to entice more click-throughs and to serve more ads on pages. And that's in our control, and we've got a number of initiatives between now and the end of the year. So we think we're going to move positively in the right direction on both of those lines. I think display advertising, we should really begin. I think the second quarter is a meaningful quarter for us. And as our guidance suggest that we are expecting to see improved advertising trends in about -- in the second quarter.
Craig Huber: You mentioned lower click-through ad rates, can you just help us just to quantify how much you're seeing down? Do you have rates online?
Arthur O. Sulzberger: Well, look, page views are up. I won't be specific here. I'll help you out though. Page views are up 6%. Ad rates are down. I think Google disclosed their ad rates were down, I believe, somewhere around 10%, 12% in the quarter. That would suggest a lot of the -- and I'm not -- we actually performed better than that in the ad rates side, but we're not going to be specific about that. So the rest of it is really click-through rates. And the click-through rates is both volume of ads on the pages and the number of clicks on those ads when people see it. These things we can do on that -- on the click-through side that is both in our control and not in our control.
Craig Huber: But lastly, but what about rates for your online display? How were those trended versus a year ago, please?
Arthur O. Sulzberger: Scott, do you want to?
Scott Heekin-Canedy: I'm sorry, is that -- he was asking about About? In NyTimes.com, our rates are holding up well. We continue to command ICPMs [ph] for our premium positions and placements.
Craig Huber: Lastly, if I can just sneak in one more thing here. I think you mentioned earlier on the last 6 months, your Sunday print circulation volume's up about 2%. Should we take your comments, I mean for the daily part of your New York Times, daily circulation volume down say roughly 3% from a year ago over that 6-month period? Is that reasonable?
Scott Heekin-Canedy: Yes. Our Q1 print decline was in the vicinity of 5%.
Craig Huber: Daily, okay.
Scott Heekin-Canedy: Yes. And that's very similar to Q4, so the 6 month is in it.
Arthur O. Sulzberger: And again, remember that was a reflection, at least in part of a price increase placed in the early part of the quarter.
Craig Huber: While we're on the subject, what is it for daily and Sunday, the circulation volume decline I assume in the first quarter for Boston Globe?
Scott Heekin-Canedy: On the Globe, if you can give me just a second. I'll get to that. We were down about 5%. I just want to get the pure print number. Just give me one second, Craig. Let me see. Daily is about 9%. Sunday, about negative 3%, both of those negative.
Craig Huber: Negative 9 and negative 3. Great.
Operator: And we'll move to the next question from Doug Arthur from Evercore.
Douglas M. Arthur - Evercore Partners Inc., Research Division: Jim, you threw out some numbers before down 9%, January. 7%, February. 2%, March. Was that print only at The Times? Or was that total advertising?
James M. Follo: Total advertising.
Douglas M. Arthur - Evercore Partners Inc., Research Division: At The Times or the whole Media Group? I assume at The Times?
James M. Follo: Yes, the News Media Group.
Douglas M. Arthur - Evercore Partners Inc., Research Division: News Media Group. And Scott, it looks like retail improved in the quarter. Obviously, March was stronger than the rest of the quarter. Was some of that Easter or is that a nonevent?
Scott Heekin-Canedy: Easter. There's no discernible impact from the earlier Easter this year.
Douglas M. Arthur - Evercore Partners Inc., Research Division: Okay. So retail looks like it's hit a little bit of an equilibrium?
Scott Heekin-Canedy: We had a good quarter. Each month of the quarter was positive.
Operator: And moving next to Edward Atorino from Benchmark.
Edward J. Atorino - The Benchmark Company, LLC, Research Division: Yes. I got what, I guess 3 quickies. One, can you talk about the print circulation volume at The Times post the price increase, number one? And there are 2 numbers I would like you to explain. There's the 472,000 circulation in one place and there's the 454,000 in another. What's the difference?
Scott Heekin-Canedy: The difference is the Boston Globe -- the New York Times together. But...
Edward J. Atorino - The Benchmark Company, LLC, Research Division: Okay. Yes. And lastly, could you talk about circulation volume post price increase?
Scott Heekin-Canedy: So it's really the numbers I stated a minute ago about Q1 versus Q4. The Q1 print decline was 4.8%. The print decline in Q4 was 4.2%. There're obviously a lot of things going in there, but the key difference was the price increase. Sunday was down in Q1, 0.3%. Q4, it was down 2%.
Edward J. Atorino - The Benchmark Company, LLC, Research Division: Is there any way to say if there's any cannibalization of advertising by the digital product from the print product, Times? And you got that blended. You got print advertising and digital. Is there any way to tell people are shifting from the print to the digital, which could have a negative impact overall since the print?
Scott Heekin-Canedy: Just think about the larger trends we acknowledge that there's a secular trend and shift of advertising from print to digital. But the way we sell is on an integrated basis. And something like 80%, it fluctuates from month to month, but 70%, 80% of our top 100 advertisers are advertising in -- across platforms. And they -- we help them. We work with them to design campaigns that exploit the advantages of each platform. So it's, aside from the macro statement, it's difficult to answer that question.
Edward J. Atorino - The Benchmark Company, LLC, Research Division: I know it is. And if I were advertising and I -- let's say, I wanted to spend $100,000. Am I going to get more bang for the buck? Am I going to be able to take advantage of the differential? And basically, you would've been better off getting all print? There's no way to figure it out, I guess?
James M. Follo: I think my advertising sales colleagues would ask you what your objectives are and they'd try to design the right spend that maximizes, that your expectations on the objective. And it could be a multi-platform buy that you make.
Operator: And we'll move next to William Bird from Lazard.
William G. Bird - Lazard Capital Markets LLC, Research Division: Just a couple of questions. I guess, first on cost. I was just wondering if you could discuss Q1 cost? They seem to have come in below guidance. Why was that? And is it likely that Q2 cost could also come in lower than guidance?
James M. Follo: Well, look, it came below the guidance. Really, there wasn't really one thing that drove it, weren't huge dollars. It was down 1%. We said it would low -- be low single digits, certainly below. Look, our best view of our business today is the guidance I gave this morning. I mean, things change. I don't have a crystal ball. If it was that precise, I would've delivered my first quarter guidance, and I didn't. I mean, that is our best view of what's likely to happen. I mean, I'll reiterate the things that are going to drive that. We are printing local competitor up in Boston. We're getting the revenue from that, but there's meaningful production costs related to that. Now we have some of that in the first quarter, but not the full quarter. We're continuing to -- we're continuing to market and acquire new customers, digital customers, and that continues -- that's a bit of a lumpy spend. It doesn't -- it's not as linear as we -- as maybe we all like, but those are the things that are going to drive our business as we look out a little bit into latter part of the year. We'll be spending more on Olympic coverage. We'll be spending more on political coverage. So there's a bunch of things that support our guidance. That's our best view of what we're likely to see in the second quarter. It's not precise. We will continue to do, I think, our usual job of managing costs less tightly, but that's embedded in that guidance.
Scott Heekin-Canedy: I would add to what Jim just said the following. We continue to take cost out of our operations. And we expect to continue to be able to do that into the future. At the same time, we're investing in our business, and we're particularly in the digital side of the business. And so, we've got part of our costs that are going in one direction and another part of our costs that are going in the other direction. And to Jim's point, there is no one big thing, but there are lots of things, the timing of which sometimes is off. And if I think that it's one way to think about what's going on with our expenses.
William G. Bird - Lazard Capital Markets LLC, Research Division: And do you have a number for NYTimes.com for the number of paying digital subs as of 3/31/12?
Scott Heekin-Canedy: The number we disclosed as of March 18 was a week short of the full quarter. Our quarter ended on March 25. And we chose to disclose then because we were making a first anniversary announcement that included several component parts, one of which was the change in the pay gate. So we jumped the gun in a sense on our quarterly announcement. Saw no reason to update it for one week. Our next announcement will be in the Q2 earnings call.
William G. Bird - Lazard Capital Markets LLC, Research Division: And can you give us any sense of just kind of your early read on tightening the pay wall to 10 articles and how that's impacting sign-ups? I realize it's early days...
Scott Heekin-Canedy: It's going extremely well. We're very, very pleased with the response rate since we've made that change. And we expect that to continue on.
Arthur O. Sulzberger: And we're pleased with the page view performance as well. Yes, yes.
Operator: And we'll go next to Leo Kulp from Citi.
Leo Kulp - Citigroup Inc, Research Division: Two quick ones. First, can you confirm whether or not your offering expense guidance includes or excludes the accelerated depreciation?
James M. Follo: Well, the accelerated depreciation, we've now put behind us and we booked it in the first quarter. It was about $7 million. There will be no more accelerated depreciation related to that plant consolidation.
Leo Kulp - Citigroup Inc, Research Division: Got it. And then on The New York Times, it seems like the ad pages in the New York Times Magazine kind of dropped off pretty dramatically this year. Is that a function of tough comps? Or is there something else you're seeing there?
Scott Heekin-Canedy: I think what we're experiencing in our magazine segment of our business is probably what you're seeing across the industry now based on certainly the reports that I've seen about magazine performance in Q1 and beyond. It's particularly so in our weekly magazine. The T Style Magazine is doing a bit better.
Operator: And it appears there are no further questions at this time. Ms. Schwartz, I'd like to turn the conference back over to you for any additional or closing remarks.
Paula Schwartz: Thank you for joining us today. Please give us a call if you have any follow-up questions. Thanks.